Operator: Good morning, everyone. My name is Michelle, and I will be your conference facilitator today. Welcome to Frontera Energy's Third Quarter 2022 Operating and Financial Results Conference Call. All lines are currently on mute to prevent any background noise. I would like to remind you that this conference call is being recorded today and is also available through audio webcast on the company's website. Following the speakers' remarks, there will be time for questions. Analysts and investors are reminded that any additional questions can be directed to the company at ir@fronteraenergy.ca. This call contains forward-looking information within the meaning of applicable Canadian securities laws relating to activities, events or developments the company believes or expects will or may occur in the future. Forward-looking information reflects the current expectations, assumptions and beliefs of the company based on information currently available to it. Although the company believes the assumptions are reasonable, forward-looking information is not a guarantee of future performance. Forward-looking information is subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking information. The company's MD&A for the quarter ended September 30, 2022, and the company's annual information form dated March 2, 2022, and other documents it files from time to time with securities regulatory authorities, describe the risks, uncertainties and material assumptions and other factors that could influence actual results. Any forward-looking information speaks only as of the date on which it was made, and the company disclaims any intent or obligation to update any forward-looking information, except as required by law. I would now like to turn the call over to Mr. Gabriel de Alba, Chairman of the Board of Frontera Energy. Mr. de Alba, Please go ahead, sir.
Gabriel de Alba: Thanks, and welcome to Frontera's Third Quarter 2022 Earnings Call. Joining me on today's call are Orlando Cabrales, Frontera's Chief Executive Officer, Rene Burgos, Frontera's Chief Financial Officer. Also available to answer questions at the end of the call, we have Victor Vega, Field Development, Reservoir Management and Exploration; Alejandra Bonilla, General Counsel, Ivan Arevalo, VP Operations and Renata Campagnaro, VP Marketing, Logistics and Business Sustainability. Thank you for joining us. Frontera's third quarter results underscore the company's continued focus on cash flow generation, operational excellence and unlocking value for shareholders. Year-to-date, the company continues to deliver on its guidance with over 41,200 barrels per day in production, representing about 10% year-over-year growth generating close to $500 million in EBITDA and showing a strong focus on cost control, including quarter-over-quarter production cost reductions by 9.5%. Additionally, the company continues to deliver on our shareholder value initiatives. Until the end of the third quarter, the company has invested over $100 million, including $87 million in share buybacks through its SIB and NCIB programs where the company acquired and retired over 8.5 million shares. The company also purchased IFC's interest in ODL, representing an important milestone for the company as we work to unlock the value of our infrastructure assets. The acquisition increases Frontera's direct interest in the ODL pipeline to 35%, it strengthens Frontera's midstream cash flow and creates a self-sustaining and growing midstream business. As a result of our continued focus on performance and value during the quarter, S&P Global Ratings upgraded its outlook for Frontera from stable to positive and affirm the company's B+ issuer credit and issue level ratings. I'd now like to take a moment to discuss our potential transformational opportunity in the Corentyne Block, offshore Guyana. Due to unforeseen challenges to the exploration activities of our third-party operator, the release of the Noble Corp Discover drilling unit to CGX has been delayed. This situation is beyond the reasonable control of the joint venture. Frontera and CGX had communicated the revised spot window for the Wei-1 well to the government of Guyana, expected to now be between December 2022 and late January 2023, subject to risk release by the third-party operator. Final preparations are complete in advance of exporting the Wei-1 well on the Corentyne Block and follows the discovery of light oil and condensate at the Kawa-1 well earlier this year. We are excited about our Guyana opportunity committed and ready to move forward with the drilling of the Wei-1 well. I'll now turn the call over to Orlando Cabrales, Frontera's CEO and our CFO, Rene Burgos, who will share their views on our third quarter results. Orlando?
Orlando Cabrales: Thank you, Gabriel, and Good morning, everyone, and thank you for taking the time to join us this morning. I would like to begin my remarks this morning by taking a moment to acknowledge a tremendous milestone that the men and women of Frontera achieved in the third quarter. I'm proud to report that through September 30, the company delivered a total recordable injury rate of 1.01, which is the best safety performance in the company's history and a credit to everyone at Frontera. This result is due to hard work, dedication shown by everyone across the organization and is a reflection of our organizational priorities and commitment to safety. Frontera delivered solid operational and financial results during the third quarter. The company generated EBITDA of $173.2 million and almost $500 million of EBITDA year-to-date to the end of the third quarter. Frontera also produced 41,033 BOE per day in the third quarter, averaging 41,238 BOE per day year-to-date to the end of the third quarter. We remain on track to deliver our 2022 production guidance of 41,000 to 43,000 BOE per day as production ramps up in the fourth quarter of the year. Importantly, we are delivering our production and EBITDA targets so far this year while controlling our operating costs despite industry-wide inflationary pressures. And we anticipate achieving our production and transportation cost guidance for the year. The company currently has -- sorry, 5 drill rigs and 3 workover rigs active and its drilling our well workover operations in Colombia. In the third quarter, the company drilled 16 development wells and completed 18 workovers and well services. Through the third quarter, the company has drilled 50 development wells and completed 78 workovers and well services in Colombia. At CPE-6, we delivered record quarterly average production of 5,070 BOE per day and October average production of 5,220 BOE per day. At , we had encouraging results at La Belleza-2 well, which supports our plans for enhanced oil recovery starting in the fourth quarter. In Ecuador, current gross production is 2,600 barrels per day. At the Espejo block, preliminary logging at the Pashuri exploration well indicates hydrocarbons. I would like to take a moment to highlight our ESG progress. In addition to our best-ever safety performance I mentioned earlier, Frontera has also neutralized 52% of its 2022 Colombian emissions through the purchase of carbon credits and has protected 458 hectares of important biodiverse ecosystems. The company is focused on bridging diversity, inclusion and gender equality gaps and is advancing training of community women in its oil and gas technical program called Crece con Frontera. To date, Frontera has invested $2.3 million in 105 social projects benefiting more than 21,000 people in Colombia, Ecuador and Peru. The company purchased $32.3 million from local suppliers and will accomplish its goal of purchasing $41 million locally in 2022. I would now like to turn the call over to Rene Burgos, Frontera's Chief Financial Officer.
Rene Burgos: Thank you very much, Orlando, and Good morning, everybody. I'd like to take a moment to highlight a few key financial aspects of our third quarter results. First, as you heard, operating EBITDA was $173.2 million in the third quarter compared with $190.7 million in the prior quarter. The decrease in operating EBITDA quarter-over-quarter was primarily a result of a decrease in the benchmark oil price compared to the previous quarter, partially offset by lower differentials, royalties, inventory drawdowns, which resulted in one more quarter sold during the third quarter. Second, cash provided by operating activities was $120.8 million in the third quarter, which compares to $246.6 million in the prior quarter. The decrease in cash provided by operating activities was primarily related to the variance in working capital resulting from the timing of cargo sales and payments received, a decrease in the benchmark oil price compared to the previous quarter, both partially offset by inventory volumes sold during the quarter. Third, we continue to maintain a strong total cash position of $309.1 million at the end of Q3. This compares to $353.1 million at the end of the second quarter. During the quarter, the company invested $61.1 million exploration, production and development facilities in Colombia and Ecuador, returned $57.9 million in capital to shareholders through its SIB and NCIB share repurchases, paid $21.2 million as part of the acquisition of the 40% direct interest in TIL, spent $11.8 million in Guyana in support of 3-way well drilling activities and $9.3 million on debt service obligations, leases and foreign exchange impacts to cash and cash equivalents. Fourth, as our commented, we remain focused and committed to generating shareholder value. On the share buyback front, the company completed its CAD 65 million substantial issuer bid. Through the SIB, Frontera took up for cancellation approximately 5.4 million of its common shares or approximately 5.8% of the total number of Frontera's issued and outstanding common shares as of August 8. The expiry date of the SIB at a price of CAD 12 per common share. Additionally, through the company's current normal course issuer bid, its NCIB, which commenced on March 17 and will end on March 16, 2023, the company has repurchased in excess about 3.18 million shares for cancellation for approximately $32.5 million as of November 1. Year-to-date, through the end of the third quarter, the company has repurchased approximately 8.6 million shares and returned $83.6 million to shareholders through its SIB and NCIB. With respect to our midstream assets, during the quarter, we completed the acquisition of the 40% remaining interest in fill of Pipeline Investment Limited, we did not already own. This increases Frontera's direct interest in the pipeline to 35%. This is an important milestone for our midstream business, strengthening midstream cash flow generation capacity and creating a self-sustaining and growing business. Pro forma for the acquisition, this business has generated approximately $50 million in cash flows over the last 12 months derived from both dividend payments related to the ODL pipeline and the ongoing port operation. Our results show the strength of our platform, our focus on maintaining a strong and healthy balance sheet and underscore our commitment to driving shareholder value. I would now like to take a moment to discuss the proposed Colombian government tax reform. On November 1, the government presented a revised tax reform proposal to Congress. This proposed tax reform has 2 main impacts on taxes related to the oil and gas industry. First, the government proposes a 5% to 15% tax surcharge on the industry when oil prices are in excess of 30% to 60% the average over the last 10 years. Second, the tax reform would codify making royalties nondeductible for tax purposes. Other [indiscernible] proposals, however, the government has now removed the proposed tax on exports when oil prices rise above $48 per barrel after the threshold. The first and second debate held with Congress the week of October 4, 2 more debates will occur within the next few weeks. We will have a full picture of the potential impact on Frontera on the tax reform law is enacted. Frontera, through its involvement and leadership in various industry associations, including the ACP continues to actively engage senior members of the Finance Ministry, Congress people and our industry partners who share our concerns and views about the proposed tax reform and lobby for changes. I would now like to turn the call back to Orlando.
Orlando Cabrales: Thank you, Rene. Looking ahead to the fourth quarter, we anticipate increased production as additional water disposal capacity in Quifa via the new battery for capacity came online in October and increased pumping capacity at the CMA, which is our water treatment facility, which begins in November. As development drilling grows record production at CPE-6 and as liquids recovery increases at B-1, we expect to continue generating strong free cash flow from our oil-weighted production and efficient operations. We will advance our significant development and high-impact exploration growth prospects in Colombia, Ecuador and Guyana. And we will maintain a strong balance sheet, healthy leveraged levels and we'll continue to return value to shareholders through our NCIB. Finally, we intend to host an open house for analysts, investors, shareholders and bondholders on November 15 of this year from 9:30 a.m. to 5 p.m. Colombian time here at our office in Bogota. Members of Frontera's executive team will provide in-depth presentations and answer questions on Frontera's strategy and key initiatives, operations and production, Colombia and Ecuador exploration, development and reserves, transportation and marketing, midstream business, Guyana exploration, sustainability efforts and finance initiatives. The open house will be webcast for those who cannot attend in person. I look forward to seeing as many of you in Bogota as we can. With that, I would like to conclude by saying thank you to Gabriel and Rene for their comments, and thank you, everyone, for attending our call. I will now turn the call back to our operator, who will open the call up for questions.
Operator: [Operator Instructions]. Your first question will come from Nathaniel August of Mangrove.
Nathaniel August: I had questions on Guyana. The first of which is we had a deadline coming up in November regarding -- Okay, so, I had some questions on Guyana. The first of which is that I thought you had a deadline coming up in November regarding either spudding the well or drilling the well. It now it sounds like you're going to miss that deadline. Is it your understanding that you have some sort of waiver in your contract with the government because this is out of your control? Or if you don't have a waiver, has the government responded to your notification. I'd like to just understand the situation there and what risks you have around retention of your acreage?
Orlando Cabrales: Okay. Thank you, Nathaniel, for the question. Let me begin by saying that the JV remains committed to drilling the Wei-1 well. And we have been ready to spud for months. That's the first thing. Now due to these unexpected challenges in the exploration activities of a third-party operator, the release of the rig of the Noble core discovered drilling unit, the CGX, has been delayed. So, the situation, as you can see, is beyond the reasonable control of the JV. The JV has communicated the revised spud window for the Wei-1 well to the government. The spud is now expected, as Gabriel said, is now expected now to be between December of this year and late January of next year. We -- I mean we have been in communications, in permanent communication, good communications, I would say, with the government and have provided all supporting documents to them. And the feedback that we have received is that they agree in principle that this situation is beyond our control. So, we -- again, we are totally committed to drill this Wei-1 well.
Nathaniel August: Okay. That's helpful. My 2 follow-ups here are, first, to the extent that things were to take a turn for the worst and the government were to decide that they're not okay with the delays that have happened. What sort of liabilities would you still have to Noble with regards to the rig? And the second follow-up is what sort of official modifications are you going to need from the government before you're willing to actually sort of spend the drilling CapEx to go forward with the Wei-1 well?
Orlando Cabrales: Let me put it in this way, Nathaniel, we -- I mean, we are absolutely thankful for the support and the cooperation of the government to accommodate these unexpected but not so uncommon third-party delays. Remember, we had some delays in Kawa as well, which is -- which are beyond our control. So, we look forward to building this success from our light oil and condensate discovery at Kawa. We are -- we remain committed to drill this well.
Nathaniel August: Can you please just elaborate a little bit on what sort of financial obligations you would have to Noble in the event that, for one reason or another, you're not able to drill the well? Or you would be drilling the well and not retaining the acreage?
Rene Burgos: That scenario is highly unlikely. And I think there is -- what we're trying to communicate, and I'm sorry if we're not being transparent enough, is we do not see or foresee any issue related to our license, and we are moving forward with the drilling. So, your comments related to the financial obligations vis-a-vis the Noble doesn't apply. Again, I think reiterating what Orlando is saying, we're committed to the well. We look forward to drilling this well and continuing the success that we're already found in Guyana and the Corentyne Block.
Orlando Cabrales: Yes, we -- I mean just to remember, in January of this year, we exercised, CGX exercised, the option to contract the disclosure to drill the Wei-1 well. Since that time, the JV has contracted all services, all necessary services, materials, the support vessels in anticipation of commencing the Wei-1 drilling operation in August, including the permit, environmental permit, from the Guyana EPA, which was granted in August of this year. So, we have been ready. The government knows this. We have been provided all the support and documentation and i.e., and we don't really see a risk of not doing this, of drilling the well.
Nathaniel August: And let's go back to the prior question, which is just -- I know you've told the government that this delay is happening, and I understand that it's out of your control. But what kind of sort of official agreements do you now require from the government before you're going to take the risk of actually going forward and spending the capital and drilling the well?
Orlando Cabrales: So, we are, as we said, in permanent communication with them.
Operator: Your next question comes from Oriana Covault of Balanz Capital.
Oriana Covault: Thanks for taking my questions. I had two of them, if we could go one by one, that would be great. First, with regards to the increasing stake of ODL, if you could share more updates information regarding this transaction, in particular, if there is any meaningful debt and/or cash associated with this asset and your estimates of the EBITDA for this transaction?
Rene Burgos: So, the acquisition of the ODL pipeline does not increase our EBITDA. You got to remember that we have a minority interest of 35%. So, where you will see this is in share of companies that we've invested in. Now what we're doing is consolidating the dividend. So now the dividend that I think the last 12 months was roughly $35 million to $40 million. Now this dividend is whole to us. As it relates to the ODL company itself, look, we are now the owners of a 35% interest. There's no -- at the ODL level, we do not publish our financial because they don't consolidate. So we are not at a liberty of actually sharing that. You can find more information on the ODL pipeline in [indiscernible] financial statements. But I want to make sure that I answered your question for you. EBITDA, no impact, increase in cash flow as it relates to dividends. The transaction -- we talked about the total purchase price, so we did have -- the transaction close. We made a few payments on the closing date and immediately following. And the remaining amount, roughly, I think $15 million to $16 million will be paid through 2023 to satisfy our obligations under that agreement.
Oriana Covault: Okay. Understood. So, in terms of -- just following up in terms of an estimated multiple for this transaction, you're not in a position to share it?
Rene Burgos: Multiple for the transaction?
Oriana Covault: Yes, exactly for the increase in…
Rene Burgos: You can do the math. The dividends associated for ODL have been historically between $35 million and $40 million a year recently. Remember that ODL in the past had a project finance, and I believe that actually has matured. So that's actually what increased the amount of dividends being paid. And we acquired a -- we held this investment through a company called Pipeline Investment Limited, which we call PIL. We actually do change names for the way that we call companies, PIL's a horrible name. So that's a little bit of accounting humor here. But the -- we bought 40%. So now you can take 40% of that dividend plus the transaction value consideration, and you can get to that multiple.
Oriana Covault: Yes, thanks for clarifying. And just -- my second question, with regards to our expectation of continued strong excess free cash flow generation, do you see…
Rene Burgos: I'm sorry, could you do me a favor, could you back away from the mic because your words are getting a little muffled. I want to make sure they understand your question.
Oriana Covault: Yes, of course, sorry. So just thinking of your excess free cash flow generation and your expectations to continue generating this. Do you see bond repurchase as an attractive alternative at current levels aside from buybacks?
Rene Burgos: Look, as I said in the prior call, we look at value and strategically where we invest our capital. I think that the levels that we're seeing in the market, certainly, this is something that we're going to give a lot more thought because at this point, it starts making sense for us to start analyzing those potential purchases.
Orlando Cabrales: Nothing to announce at this point in time. But certainly, as Rene said, I mean, we constantly are looking to opportunities to enhance value for our stakeholders and bondholders.
Operator: Your next question comes from Christina Ronac of HSBC.
Christina Ronac: Thank you. I know the new tax laws are still in flux, but if you could give us just more color on what is already now proposed, how does that impact your cash tax paid? I think getting rid of the export taxes was a huge benefit for you. My calculation is that helped reduce what you were going to pay by almost half. But if you can kind of help us walk us through how we can think of the actual tax jump that I think would start in 2024 or would it start in 2023?
Orlando Cabrales: Yes. Let me just -- I mean I think -- I mean I would just reiterate what Rene already said in his remarks, I mean, first of all, the debate continues. I mean we have still 2 debates ahead in the at Congress. So, this is permanently changing. So, it's difficult to anticipate what is going to be the final outcome. But basically, they continue -- they keep the of royalties. That is number one. And number 2, they change what they had originally proposed as an export tax to supercharge on the industry, which is basically from 5% to 15% when the average oil price is between 30% and 60% of the average of the last 10 years. So, it's a complicated formula, but that is what they have proposed. As I said, they changed the initial proposal to have the tax on export when the oil prices rise above $48. That was the regional proposal. So, this is -- I mean, this is changing, and we have been actively working with different trade associations where we are part of ACP, which is the Oil and Gas Trade Association and natural gas. So, we have been, I mean, really active in the last weeks to position and to explain the position of the industry and the impact that this may have on the country as a whole, not only on the industry. So, we haven't -- I mean, we haven't provided any guidance yet on the potential impacts to Frontera, but we are permanently monitoring the situation. I don't know, Rene, if you want to add anything that?
Rene Burgos: So, to your second point about the impact, so the impact on our books will be 2023, whenever the actual new tax law one gets enacted. But as you -- if you're not familiar with kind of how Colombia tax law works, premiums are effectively then due in 2024 for tax year 2023, and those were due in April. That said, there's also withholding payments that we make throughout the year. So, the -- on the timing wise, the bulk of it should be in 2024, there all withholding taxes. As to the taxes themselves, I do think that's why you're seeing the reform now, it's actually much more straightforward for the investment community to somewhat calculate. Most of the changes now, there was an elimination of the export tax. So now what you have is like Orlando mentioned, is this surcharge. So, the question is, is the surcharge going to be 5%, is it going to be 15%, depending on oil prices. Is there reform going to adjust those surcharges? So, there's still a lot of room for debate. And we're hoping that by the investor open house, we will have a lot of these questions answered, and we can engage in a dialogue once we have better information because we do still believe it's a little premature to jump to any conclusions based on the level of dialogue that we've been receiving. Hopefully, that helps clarify some of those points, Christina.
Christina Ronac: Okay. We'll just follow up later when we have more clarification.
Operator: Your next question comes from Roman Rossi of Canaccord Genuity.
Roman Rossi: Thank you for taking my questions. I had a couple of them so, I will ask them sequentially. The first one, going back to Guyana, we expect any additional CapEx before the actual spudding of the well?
Rene Burgos: Can you repeat the question, Roman?
Roman Rossi: I mean you're expecting to spud the well in December or January? Are you expecting any additional CapEx before the actual spudding? Because I saw some CapEx related to work commitments around that. So I just want to get clear if I can expect any more CapEx before the actual spudding?
Orlando Cabrales: I think we haven't -- I mean, we haven't announced anything to market on that. I think it's going to be premature to anticipate any additional CapEx. But certainly, when we have that…
Rene Burgos: And maybe what I would say is, let's divide the question into 2. As it relates to the Wei well itself, we haven't -- we don't expect any additional charges. There could be some minor charges related to some of the equipment that's already at the ready, like Orlando mentioned. We have been ready to drill this well for months. But as it relates to the drilling the well, we don't expect anything different from the forecast that we shared.
Roman Rossi: Okay. Perfect. And regarding the Demerara relinquishment, the government could potentially charge any fines or are you subject to any penalties there?
Orlando Cabrales: So, the government of Guyana provided in September -- in September provides CGX a surrender deed to formalize their relinquishment of the Demerara Block. So subsequent to that, the joint venture signed a surrender of the Demerara license and something which is important for Guyana for the Guyana government, we discussed it with them is that their relinquishment of this block will benefit any additional exploration activities under other companies because they have been talking about a new bid run. So today, as of today, the detail surrender is in process of being finalized.
Roman Rossi: Okay. Perfect. And one additional on Guyana. Do you have any [indiscernible]? I know that you extended the loan and the existing joint agreement, but just wanted to get more clarity on when we would expect the transaction to close.
Orlando Cabrales: No, I think -- I mean, I would say that -- I mean, very briefly that once all conditions present have been satisfied, we will close the and Frontera will hold 68% of the participating interest in the quarantine block and CGX remaining 32%.
Roman Rossi: Perfect. And the last question regarding the operational issues you had in [indiscernible] Block. So just wanted to get more color on what more -- what were the operational issues? And if you will -- if this will require a bit more CapEx to be sold?
Orlando Cabrales: What block? The [indiscernible] Block. Yes, as we said, we had some operational issues. We are in the process of fixing them. It potentially could be an additional CapEx. We haven't gone through that yet. But we are in the process of fixing that. I think the good thing is that the signs are there are producible, and we plan to produce it.
Operator: Your next question comes from Eduardo Nieto of JPMorgan.
Eduardo Nieto: Thanks for taking my question. I have 2 actually. So, first of all, would you be able to give us more detail on the foreign exchange loss that you had on the quarter and specifically if you think that there's going to be an impact going forward that we can expect? And I'll ask the second question in a minute.
Gabriel de Alba: The foreign exchange loss? Yes. That's the [indiscernible] Block. Why don't we just take this one offline because this is a noncash loss, and it's related to our -- some of our positions, for example, in different loans, different letters of credit and things like that. So, we can touch base -- we can touch base and give you an answer offline, if you don't mind.
Eduardo Nieto: Sounds good. The second one is a follow-up on a previous question on the tax reform. I appreciate that it's hard at this point to calculate any impact. It's changing. But I'm curious on what the dynamic is with the government at this point. I know you've been working with the ACP with other players. Are they still being constructive? Are they listening to you? Are these changes that you're proposing in line with what you are proposing? Or at this point, are you just waiting for whatever they come up with and what they think is going to be passed?
Orlando Cabrales: As I said, I mean, we have been -- I mean, really honestly very, very active in the conversations through these different organizations. And we have -- I mean we are permanently making I mean trying to reduce the potential impact this may have on the industry. I think -- I mean, the good thing that I have seen in the last weeks, which I haven't seen in the last years in Colombia is that the people who have expressed themselves in favor of the industry, in favor of the importance of the industry, so, I think we have made like a difference in the debate. And again, let's see what happens in the next 2 debates that we still have to get the bill approved.
Operator: [Operator Instructions]. Your next question will come from Ezequiel Fernandez of Balanz Capital.
Ezequiel Fernández: Hi, good morning, everybody. Thanks for the call and the material is very complete. As always, I want to go back, if I can, a little bit to what Oriana was pointing out on the ODL transaction. If we are not mistaken, Frontera is paying $47 million to get 14%, 1-4, 14% stake, additional stake, in ODL -- in the absence of material cash balances and debt, that translates into $340 million valuation for the pipes for the full equity stake and actually the full enterprise value of ODL. Also, the latest filing of ODL said that EBITDA is roughly $210 million to $220 million. So that values ODL at 1.5x EBITDA, enterprise value EBITDA. That seems like a great deal for Frontera, but at the same time, I don't know, we could think there is something perhaps wrong with the asset because it's being so cheap or maybe something particularly about the transaction that makes it so cheap. I don't know if you have anything to comment on that side?
Orlando Cabrales: Look, we love the ODL assets. We've been part of it from Rubiales, now at Quifa. We expect production to continue to go through the pipeline, particularly motivated by the addition of [indiscernible] into the ODL pipeline. This is an asset that we know well, and we're excited about the purchase.
Ezequiel Fernández: Okay. Great. So maybe you would think that the inexpensive valuation has to do with being a minority block in another indirect holding or any other factor to consider?
Gabriel de Alba: And look, sorry, again, it's tough for me to put myself in somebody else's position as to kind of what their interest and motivations are. But what I can say is we continue to look strategically at where to invest our shareholders' capital and our stakeholders' capital. And when approached by this opportunity and investment that we already had, we decided to undertake it. And again, we're very excited about the process for ODL. But most importantly, we are excited about what this means and the transformation and capacity of this together with our midstream business. I think as I said in my remarks, if you combine the port operations together with the dividends, we're talking about a midstream business that now has $50 million of cash flow generation, call it, dividends plus port EBITDA. So, it's something for you guys to take a look at. And by the way, looking forward to your note on this one.
Ezequiel Fernández: No, . It looks like a great deal at first sight. That was precisely my question. So, thank you very much.
Operator: Ladies and gentlemen, host and speakers at this time, there are no further questions from the phone lines. So, this will conclude your conference call for this morning. We would like to thank everybody for participating today, and you may now disconnect your lines.